Operator: Good morning, ladies and gentlemen, and welcome to Vontier Corporation's fourth quarter 2025 earnings call. At this time, all lines are in listen-only mode. Following the presentation, we will conduct a question-and-answer session. If at any time during this call you require immediate assistance, please press star followed by zero for the operator. This call is being recorded on Thursday, 02/12/2026, and a replay will be made available shortly after. I would now like to turn the conference over to Ryan Edelman, Vontier Corporation’s Vice President of Investor Relations. Please go ahead.
Ryan Edelman: Thank you. Good morning, everyone, and thank you for joining us on the call this morning to discuss our fourth quarter results. With me today are Mark Morelli, our President and Chief Executive Officer, and Anshooman Aga, our Senior Vice President and Chief Financial Officer. You can find both our press release as well as our slide presentation that we will refer to during today's call on the Investor Relations section of our website at investors.vontier.com. Please note that during today's call, we will present certain non-GAAP financial matters. We will also make forward-looking statements within the meaning of the federal securities laws, including statements regarding events or developments that we expect or anticipate will or may occur in the future. These forward-looking statements are subject to risks and uncertainties. Actual results might differ materially from any forward-looking statements that we make today, and we do not assume any obligation to update them. Information regarding these factors that may cause actual results to differ materially from these forward-looking statements is available on our website and in our SEC filings. With that, please turn to Slide 3, and I will turn the call over to Mark. Thanks, Ryan. Good morning, everyone, and thank you for joining us. Let’s get started with a quick walk through of the key takeaways from the quarter and the year and why I am confident we are entering 2026 on firm footing. The headline here is that we finished the year strong, strengthened our foundation, and built meaningful momentum across the portfolio, led by high single digit growth in both our mobility tech and environmental and fueling segments, underpinned by robust demand in our convenience retail end market. We delivered 5% core growth in Q4. For the full year, organic sales grew nearly 4%, and EPS finished up 11%. Strong cash generation is one of the hallmarks of performance at Vontier, and in 2025, we generated over $460 million in adjusted free cash flow, which equated to about 15% of our annual sales. Q4 adjusted EPS was at the high end of our guide, despite the impact of a one-time inventory reserve adjustment related to the Invenco acquisition, and by higher health care costs at corporate. Underlying operational performance was in line with our expectations. 2025 was a year of strategic repositioning and strong execution. I am proud of the discipline our teams demonstrated in what turned out to be a dynamic macro environment. We are now more focused and better aligned around our connected mobility strategy, which fundamentally enables profitable growth and underpins innovation across Vontier. We are consistently demonstrating the power of having a synergistic portfolio, unmatched domain expertise, and global scale. We made significant progress on simplifying our organization. These actions unlock growth, enable us to be easier to do business with, and allow further efficiency across the organization. This next phase of simplifying our business will result in $15 million of incremental in-year cost savings and Anshooman will share more details on timing and phasing in his prepared remarks. We maintained a focus on innovation in 2025, deploying multiple new solutions and creating more durable competitive advantages. We are deploying unique value propositions that leverage integrated solutions and capitalize on strong secular tailwinds, including digitalization and the energy expansion. We are entering 2026 with good momentum, a stronger portfolio, and a healthy balance sheet. We are well positioned to deliver on our financial commitments and expect more benefits from our simplification efforts to drop through to the bottom line. As Anshooman will share with you, our guidance for 3% core growth and attractive operating margin expansion of 80 basis points at the midpoint is in line with the framework we shared with you in October. I am confident in our ability to execute and to continue building sustainable above-market growth. Let’s turn to Slide 4 for a quick walk through some of the high-level growth drivers by segment. Let’s start with EFS. Fueling has been a dependable growth engine over the last two years, growing at roughly 6% organic CAGR. Market growth has been broad-based with increased new site builds, retrofit activity, and equipment replacement all driving investment. We see sustained high levels of capital investment for both above-ground and below-ground fueling equipment, particularly in North America. A recent industry report from NACS shows that while the U.S. convenience store count remained relatively flat year over year, the number of fueling sites grew approximately 1%. An important takeaway from this is the larger national and regional chains with whom we have majority share positions are growing at faster-than-average rates. Environmental sales finished the year with growth in the low teens supported by strong upgrade activity for our connected automatic tank gauges and incremental share gains in submersible pumps with our new four horsepower offering. Both of these are a result of traction in new product development. For 2026, we expect growth to be in line with our longer-term targets of low to mid single digits, despite the tougher compares, especially in the first half. Mobility tech, and Invenco in particular, was another standout. Invenco closed the year with a revenue base of nearly $650 million, up 22% organically versus the prior year. This reflects strong demand for our innovative payment technologies, including those that leverage our NFX microservices architecture, the rollout of new products, and disciplined execution on a healthy order pipeline. Our new product introductions—FlexPay 6, Vehicle Identification System, and the NFX Payment Server—all contributed meaningfully to our growth last year. We have also been expanding our integrated offerings, and in Q4, we rounded out our unified payment solution by launching an indoor payment terminal that shares software across all devices. I will unpack Unified Payment in a moment because it is a strategic priority for us. The convenience retail end market is growing at a mid single digit CAGR, which is being fueled by strategic investments in food service and technology. Store formats are evolving to meet changing consumer needs and increase competition, and, as a result, are becoming more complex and costly to run. Our innovative portfolio positions us well to continue delivering above-market growth in this end market over the medium and longer term. DRB’s growth accelerated in Q4 driven primarily by improved pipeline conversion from ramping our new Patheon software. DRB inflected positive in the second half, and grew high single digits in Q4 almost entirely due to Patheon adoption. Customers who have upgraded are seeing growth in memberships, declines in churn, and mid-teens revenue growth on average. Repair Solutions gained momentum as we got traction with growth initiatives. Sales grew sequentially in Q4 in what historically has been our slowest quarter. Our initiatives drove low double digit growth for our diagnostic scan tools in Q4. On Slide 5, as I mentioned, I want to spend a minute on unified payment because it ties a number of themes together and will be a key enabler of the value-creation flywheel for our customers. We shared this with some of you at our investor event last fall. Over the last decade, payment complexity has increased rapidly—more devices, tighter security requirements, and a growing need to integrate payment across fuel dispensers, car washes, in-store point-of-sale, and EV chargers. The biggest pain point customers face is payment certification. It consumes significant amounts of their OpEx budget and scarce engineering resources. Certification costs can range from hundreds of thousands to millions of dollars annually, and those costs only rise as new offerings are added. Our unified payment solution addresses that head on by delivering an integrated solution, including outdoor payment terminals for multiple devices, the NFX electronic payment server that links terminals and payment processors, and the indoor payment terminals we launched in Q4 that share the same software as our outdoor devices. In other words, customers can cover every transaction on their sites with a single common platform. That common software architecture materially reduces certification costs, speeds feature deployment, and delivers a seamless consumer experience. Additionally, it enables our customers to drive revenue growth through offerings like media and loyalty. Perhaps most critical for Vontier, all of these opportunities pull through additional equipment and recurring revenues. We recently entered into an agreement for a full unified payment solution with a global c-store customer, one with whom we built a strong technology partnership, and their early feedback has been positive. With that, I will turn the call over to Anshooman to walk you through the quarter’s financial details and take you through our outlook. Thanks, Mark, and good morning, everyone. I would like to start off with a summary of our consolidated results for the fourth quarter on Slide 6. Total sales were $809 million with core growth of 5%, reflecting disciplined operational performance and continued resilience across our end markets. Adjusted EPS was at the high end of our guide at $0.86, up 8% year over year. Adjusted operating profit margin was 21.3% on one-time costs related to an Invenco inventory adjustment and higher health care claims. Underlying margin performance was in line with our expectations. In Q4, we delivered record free cash flow. On a full-year basis, this was 98% adjusted free cash flow conversion, representing an attractive 15% of sales and underscoring the strength of our cash generation model. Turning to our segment results, beginning on Slide 7. Environmental and Fueling Solutions delivered a strong finish to the year, with above-market growth demonstrating our strong share position with large national and regional operators. Total dispenser sales increased high single digits in the quarter. Environmental solutions grew double digits supported by ongoing upgrade activity and share gains related to new products. Fourth quarter segment margins expanded 90 basis points, the result of strong volume leverage and ongoing productivity actions. For the full year, EFS delivered 6% core growth, on top of 6% growth in the prior year, with dispensers growing mid single digits and environmental up low double digits. Full-year operating margin expanded 40 basis points, ending the year over 29%. Moving to Mobility Technologies on Slide 8. Core sales increased 8.5% for the quarter, with relatively broad-based growth across all business lines. At Invenco, we continue to execute on a new product development roadmap, with Q4 sales up 9% following six quarters of double-digit growth—a testament to our team and proof of the strategic value our suite of solutions is driving for our customers. DRB continued its growth trajectory, building on the momentum we began to see in Q3, and ended the fourth quarter up high single digits. Although down high single digits for the full year, DRB’s recent return to growth and the order momentum we are seeing positions us well for 2026. Overall segment margins declined 220 basis points for the quarter, mainly impacted by the one-time inventory adjustment at Invenco. Finally, turning to Repair Solutions on Slide 9. Sales increased sequentially as the growth initiatives helped offset macro pressures on technician spending. Distributor sell-through off the truck inflected positive for the first time all year in Q4, and high-ticket items like tool storage and diagnostics returned to growth. Fourth quarter sales declined 2%, with lower volumes pressuring margins. Turning to the balance sheet on Slide 10. As I mentioned earlier, we had another strong year of free cash flow generation, which provides meaningful flexibility as we execute on our 2026 priorities. In the quarter, we deployed an additional $125 million towards share repurchases, bringing total buybacks for the year to $300 million, equating to over 5% of our shares outstanding. Given the valuation disconnect relative to our long-term fundamentals, we continue to view buybacks as a compelling use of capital. We ended the year with nearly $500 million in cash on the balance sheet and closed the year with a net leverage ratio of 2.3 times, down from 2.6 times at the start of the year. Regarding our upcoming $500 million bond maturity, we intend to use cash on hand to repay $200 million and plan to enter into a $300 million, 364-day term loan agreement for the remaining balance. We believe this option meets our current financing needs, minimizes the interest headwind, and gives us flexibility to address future maturities. Turning to our outlook assumptions for the full year 2026 and Q1 on Slide 11. Our full-year guidance is consistent with the framework we provided you on our Q3 call. We expect sales in the range of $3.1 to $3.15 billion. At the midpoint, this assumes core growth of about 3% supported by low to mid single digit growth within Environmental and Fueling Solutions, mid single digit growth at Mobility Technologies, and flattish growth at Repair Solutions. We expect adjusted operating profit margins to expand 80 basis points at the midpoint, reflecting strong incrementals. As Mark disclosed at the start of the call, we expect to generate an additional $15 million of new savings. These are a result of our simplification efforts along with improved efficiency and velocity of product development with adoption of AI tools. A majority of the necessary actions are being implemented in Q1 with a modest ramp into the second half. Adjusted EPS is expected to be in the range of $3.35 to $3.50, representing high single digit growth year over year. This assumes share repurchases of less than $50 million for the year and does not include any additional capital deployment benefits. Adjusted free cash flow conversion is expected to be about 95%, which would equate to roughly 15% of sales for the year. Looking at our guide for Q1, we expect sales in the range of $730 to $740 million with core growth of about 1% at the midpoint. Margins will be relatively flat to start the year, reflecting year-over-year timing differences in R&D and other operating expenses, as well as less favorable mix. EPS will be in the range of $0.78 to $0.81, in line with our normal seasonality. With respect to the shape of the year, we would expect first-half sales at just over 48% of the full year, and EPS approaching 47%, both in line with our normal historical seasonality. I would also note that the year-over-year organic growth rates will look better in the second half, which embeds the first-half compare issues at EFS and Mobility Tech, and the timing of shipments of projects and backlog, which favor Q3 and Q4. This is the same view we shared with you on our last call. As always, we have included other modeling assumptions on the right-hand side of this slide. Just to highlight a couple of those, we do have some divestiture impacts to consider on the top line and the higher interest expense we noted last quarter, with step-ups beginning in Q2. With that, I will pass the call back to Mark for his closing comments.
Mark Morelli: Thanks, Anshooman. We finished the year strong with meaningful progress strengthening our foundation and advancing our connected mobility strategy. That progress reflects disciplined execution across the organization. I could not be more proud of what we have been able to accomplish in the last twelve months. I am extremely grateful to our employees for their continued hard work and dedication. I am genuinely excited about the setup for 2026 and the way Team Vontier is engaged to create value for all our stakeholders. Looking ahead on Slide 13, I remain confident in the fundamentals we have built and the outlook for the year ahead. We have strong leadership positions in attractive and resilient end markets that offer significant opportunities. We have the right strategy in place to capitalize on the key secular trends shaping our industries, and we are executing that strategy thoughtfully and with purpose. Innovation has become another hallmark of Vontier, and our focus on product vitality is translating into stronger offerings, deeper customer engagement, and measurable commercial momentum. Combined with a culture centered around VBS, we have a solid runway ahead on our 80/20 journey, and we have a very visible path to expanding margins. Our business generates strong free cash flow, consistently in the mid-teens on a percent of sales basis, which gives us flexibility to continue driving above-market growth and returning capital to shareholders. We will continue to apply the same discipline to capital deployment that has served us well over the past several years. With that, operator, please open the line for questions.
Operator: Thank you. Ladies and gentlemen, we will now begin the question-and-answer session. To ask a question, please press the star key followed by the number one on your touch-tone phone. You will hear a prompt that your hand has been raised. Should you wish to decline from the polling process, please press the star followed by the number two. If you are using a speakerphone, please lift the handset before pressing any keys. As a reminder, one question and one follow-up only, please. Thank you. One moment, please, for our first question. Our first question is coming from Andy Kaplowitz of Citigroup. Please go ahead.
Andy Kaplowitz: Good morning, everyone. Morning, Andy. Mark and Anshooman, could you give us more color on what is going on in Mobility Tech? I think, Anshooman, you thought Mobility’s growth might be flattish in Q4 2025 and it came in at 8.5%. I think you were concerned regarding the timing of projects and when you could deliver hardware. Did that pull forward at all into Q4? And then you obviously have an expected back-end-loaded guide in Mobility. Can you remind us the level of visibility you have and maybe give us a little more color on the Invenco reserve and what happened there.
Mark Morelli: Yeah. Good morning, Andy. I will start off, and I will turn it over to Anshooman. Look, I think the really good news on Mobility Tech is our innovation-driven growth is really bleeding through. I think when you look at the FlexPay 6 offering combined with the NFX—that is a version of the unified payment—and, you know, the good news is that we have had better uptake on that. You know, it is a product line that requires some level of not only certification but piloting with our customers, and the ramps are a little bit hard to predict, but I think the backdrop here, the momentum here, is pretty clear. And, you know, I think the real issue then is when you look at the outlook into the year, what do we see? I think you know that we have a first-half bit of a compare issue, but we see overall really strong growth coming from our Mobility Tech product lines, including the turnaround with DRB that is feeding into that and more visibility there. So overall, we are pretty happy with what we see. Anshooman?
Anshooman Aga: Yeah. Andy, thanks for the question. From a linearity perspective, for 2026, linearity is in line with what we have typically had. Q1 is, at the midpoint of our guide, above 23.5% of our total sales for the year. The second half weighted was a little bit front-end loaded. The sales—the other thing, we do have some larger wins both in indoor payments, which is part of our unified payment offering, and also the Vehicle Identification System, another winner there, which—the project takes some time for going through the customer certification, as Mark mentioned. So that revenue ramps up in the second half of the year. So we feel pretty comfortable with our guide the way it is. Mobility Tech still growing mid single digits on really a strong growth in 2024 and 2025. Related to the inventory reserve, we did have an inventory reserve of $4 million at Invenco. This is for legacy inventory prior to acquisition. Now, keep in mind, back at the time of acquisition, supply chains were disruptive. Companies were keeping higher inventory levels, and then as we bought the business, we have spent quite a bit of time and effort on innovation and bringing in new versions of the product which, as you can see from our Q4 results, there is a very strong uptake in the market for this new version. And as a result, we wrote off some inventory that we had on hand from pre-acquisition time. Got it. And maybe a similar question for EFS. I mean, grew strongly in Q4 against tough comps. So maybe you can comment on the longevity and strength of the retail fueling cycle this time around because I think, Mark, as you said, channel checks seem good. I think I remember a slide maybe in the original launch or investor day where historically retail fueling does tend to clip along the mid single digits. So why cannot it continue to do that?
Mark Morelli: Yeah. A lot of confidence in that. You know, we are at the NACS leadership summit this week, and so I am hearing directly from C-suite officers of our convenience store customers. And as you may know, we have about two-thirds share with the largest regional and national and international players. When you really look at the backdrop, in some of my prepared remarks, you know, I also spoke about this. And the color that I am getting directly from our customers this week—there is no question that they are advancing their footprints. Many times when you ask folks about their buildout plans, they are looking three years out on average. Some are even looking longer than that because of the sort of the footprint buildouts, real estate transactions. You know, building a new store does not take that long, but, you know, doing all the permitting, setting all that up, and they are very planful. And, you know, really cash-flow positive. They are not seeing anything in the economy right now. So that is about two-thirds of our business is really associated with that very constructive backdrop. So I think we are pretty bullish on what we are seeing. The new technologies that we are offering really help them solve high-value problems. As they build out their infrastructure, also as they do M&A and they combine with each other, it is a more complex backdrop for them to be able to manage. They are looking at new solutions such as loyalty and media to be able to drive more revenue, and they are seeing some really successful endeavors there. So yeah, we are very excited on the backdrop and what we see in our position in the market with number one, number two, of our strong brands, and we are doing it in a more unified concerted way that really helps them solve some high-value problems. So yep, we see continuation of this.
Andy Kaplowitz: Appreciate all the color.
Anshooman Aga: Thank you. Our next question is coming from Julian Mitchell of Barclays. Please go ahead.
Julian Mitchell: Hi. Good morning. So, you know, I heard you on the sort of the phasing of the year, but maybe flesh out a little bit more, I guess, in that first quarter 1 point of organic growth, how are we thinking about the various segments? Because you had a very strong fourth quarter. Was there any kind of pull-forwards you could flesh out? Or is it just something around comps? Maybe help us understand the Q1 core growth across the segments, please.
Anshooman Aga: Yes, Julian. Good morning, and thanks for the questions. So just from a segment perspective, we expect our EFS segment to continue to grow, probably in the low single digit growth range. Mobility Technologies will be flattish. That is really off the very strong compare in that business. And then Repair Solutions, again, we expect it to be relatively flat. Q1, as we said in the prepared remarks, the turnaround continues in that business with stabilization. Sales off the truck were up for the first time in Q4, so we are starting to feel incrementally better about the business, and we expect Q1 to be relatively flat year on year.
Julian Mitchell: Thanks very much. And then on the operating margins, flat on year in first quarter, up 80 points for the year. When we think about kind of what is changing as we go through the year, I suppose there is some volume leverage that builds. It also sounds like that $15 million savings number is sort of year on year a bigger weighting in the back half. Just maybe help us understand kind of how drivers of that improved margin year on year split between those two. And then price/cost, anything changing there first half versus second half because there are tariffs anniversary.
Anshooman Aga: Yeah. I got it. So it is some of the things you mentioned, Julian, but I will start off by saying Q1 margin last year were the highest for the whole year. We were at 21.7% in Q1 last year, which was about 40 to 60 basis points higher than all the other three quarters. So it was the highest margin quarter, and typically our typical seasonality—through volume leverage, Q4 is usually the highest margin quarter for us. We will get volume leverage as the business continues to perform better. Incrementals are relatively good in the business. But also, a lot of the $15 million in-year savings, a lot of those are in flight right now. So the savings start ramping in Q2, but really fully ramp in the back half of the year, Q3, Q4. So definitely, that will add to it also.
Julian Mitchell: Got it. And price/cost, is that pretty steady through the year?
Anshooman Aga: Yeah. Price/cost is pretty steady through the year. We ended 2025 a little over 1%. For 2026, again, I think we will be somewhere around 1.3% average price increase. You know, tariffs hopefully are behind us from a lumpiness perspective, and we can go to our normal cadence of price increases. Great. Thank you. Thank you.
Operator: Our next question is coming from Nigel Coe of Wolfe Research. Please go ahead.
Nigel Coe: Thanks. Good morning, everyone. Okay. So yes, another question on phasing. So I am assuming the first half/second half sort of implies, I think, flattish core in 2Q. Very similar EPS to 1Q. Just want to make sure that is the case. And then you have got a much, much tougher comp in the second quarter given the pull-forward. So I just want to make sure you are confident that flat core is about the right number.
Anshooman Aga: Yeah. We feel pretty good given the visibility we have in the business around our framework that we provided, with half one being a little over 48% of our total sales, EPS being a little under 47% of our total year. It is in line with our typical seasonality. Also, you know, how our businesses are shaping up, how backlog is shaping up, how orders came in in January, all gives us confidence in the framework we have provided.
Nigel Coe: Okay. Good. And then the Patheon sort of penetration. Just remind us where we are with that. It seems like there is some really good momentum there. And then I am just wondering, you know, the car wash business seems to be maybe an industry that might benefit from the—or rather the tax incentives out there, you know, could incentivize some investment. I just wonder if you have seen any return to activity in the tunnels.
Mark Morelli: Yeah. The Patheon software, I think, is a real success for us. You know, it is a product we have been working on for a bit, trying to bring it to market in the right way. And I think what we are seeing now are real proof points that it helps the folks that are the larger operators in the market. How do they run a better car wash? How do they also attract consumers to their site? It is also—they have very high labor turnover, and the ability for them for ease of use and training of employees and managing a network of car washes is certainly a real selling feature here. You know, the way we are getting traction in the market and the turnaround in DRB, which you see real momentum building in the second half of this past year, is not off new tunnel builds. New tunnels have not been coming to market. As you know, the business overall was really impacted by higher interest rates where folks were building out tunnels at a very rapid rate, and then it slowed down. As we project into this year, I think we have a view that tunnel builds is probably going to be flat year over year. And with that assumption, we will definitely make progress on Patheon because it, you know, it takes a while for folks to get into that new software. And so we have got a pipeline, we have got really good pilots out there. And the great news is they have proof points of that system working with other blue-chip customers in the space. So I think we will continue to see momentum there. If we get any benefit from tax benefits, both on the car wash side or in Matco, or how that drops through, I think is a little bit of a question mark on how that will play through. I think we are all watching that to see if that will have some impact, but that is not included in our guide.
Anshooman Aga: Okay. And, Nigel, I will add that Patheon is pretty early in its upgrade cycle. We have had some early adopters and larger customers that have deployed it, but we still have a pretty big install base of our legacy solution, SiteWatch, out there. So there are a lot of good opportunities to continue to sell Patheon in the marketplace. Also, the revenue on Patheon is higher than our legacy solution given higher capabilities and advantages it provides to our customers. Great. Thank you.
Operator: Thank you. Our next question is from Katie Fleischer of KeyBanc Capital Markets. Please go ahead.
Katie Fleischer: Hey. Good morning, guys. Just to go back to the one-time adjustment in Invenco. Is there a way for us to think about what margins would have looked like this past quarter without the impacts of that adjustment?
Anshooman Aga: Yes. Inventory adjustment was $4 million, so that is about a 130 basis point impact to Invenco’s margins for the fourth quarter. So underlying margins would have been down slightly still year on year. Now Q4 last year at Mobility Tech was a pretty tough compare from a margin perspective, and we did have some mix also that we called out between the different product lines in that business. But underlying margins for Mobility Tech would have been around 20% for Q4. Okay. Great.
Katie Fleischer: And then on Repair, how conservative do you feel like the outlook is for flattish growth in 2026? I know it is still really early to call on collections in that business, but just given some of the improving trends that you are seeing there and some potential help from the macro environment, what is the upside to that growth outlook?
Mark Morelli: Yeah. Katie, thanks for the question on Repair. Look, the good news is definitely seeing some traction. The areas that make the most amount of sense given the K-shaped economy that has been playing out is for repair technicians to be more productive. I think we all recognize that the backdrop on the repair market is pretty healthy. You know, you have got a car park now that is almost thirteen years old. I mean, that is kind of ridiculous to see how many older cars are actually on the road, and that is really good for the sweet spot of repair. And vehicle miles traveled are up. You know, overall, it is a pretty good environment for repair. I think the problem we all recognize is that folks might be holding back from some of those repairs, as well as the technicians are part of the working class that is also under pressure. And so if they can be more productive on the job site, then they are going to be willing to spend money in two areas that we have definitely made progress on are in the diagnostic area, where we have not sold to our potential on diagnostics. We have got a really good lineup and really good price points on the diagnostic line, and it is a very capable multi-tiered product line. And we are being a lot more effective with training and selling that, and you saw that happen in Q4. We think there are legs to that. And then we have actually done really well on these productivity carts, where you are able to organize your tools, bring them right into the job site, right into the work that is being done, and the technician can be a lot more productive there. And so those are the two general categories we are seeing the uplift occur in. And I think when you look at that going into the year, you know, it is a little bit hard to predict what is going to happen. You know, I think we do not really know what is going on with the consumer this year. It is a little bit hard to predict how tax breaks might affect that. And so I think from what we see right now, I think it is a prudent guide.
Katie Fleischer: Alright. Thanks, Mark. That is really helpful.
Operator: As a reminder, should you have a question, please press star followed by one. Our next question is from David Emerson Ridley-Lane of Bank of America. Please go ahead.
David Emerson Ridley-Lane: This is David Ridley-Lane on for Andrew. Just two quick questions and then a longer one. So just housekeeping. What was book-to-bill in the quarter? And then also, just to confirm, it sounds like Matco Expo timing is again in 2026?
Anshooman Aga: Yes. So our orders were up low single digits on the back of a pretty strong Q4 last year. So the book-to-bill was just under one for the year. Timing is for Matco Expo, yes. The sales will come in Q2. It is actually at the very tail end of Q1, so the last three to four days of Q1 saw the sales. The bookings will start coming in in Q1, but the actual sales, to my recollection, are probably in Q2. Yeah.
Mark Morelli: And, David, we hope not to change that. I think it was very painful for investors to kind of follow the changing of the timing from Q1 to Q2. So, you know, we promise you we are not going to flip-flop back and forth on the Matco timing. The reason why we did push to Q2 is that our franchisees, distributors, are really fond of better weather. Sometimes they bring their families on vacation there, and they were looking at a little bit better weather to do that. And it was something we really did a bit of hand-wringing on. But we think it is more customer-friendly, distributor-friendly, and so that is why we changed it, but we promise not to change it again.
David Emerson Ridley-Lane: Got it. Understood. We all like better weather. And then maybe I am not understanding some of the dynamics here for gas stations, but I know that merchant acquirers will sometimes give these payment terminals—the in-store payment terminals—away as part of a multiyear agreement. So like First Data will give you a Clover terminal. Elavon, etcetera. I get why you need to have the full suite of payments and hardware. But is the right way to think about this kind of like a below-average hardware product that allows you to win the above-average-margin recurring revenue and sort of offer the full suite? How would you kind of size that up?
Anshooman Aga: No. These are not below average. We do—definitely the hardware that we are providing with FlexPay 6, both outside on the dispenser but also inside the store, are good-margin products. You know, usually, when a payment processor gives away hardware for free, their swipe fee or the transaction fee that they are charging the merchant is a lot higher because they have to make up the money. Most of our larger customers and even the smaller ones take benefit of industry—the NACS Association has agreements with merchant processors. So usually, they take advantage of lower rates, so they are not getting the hardware for free. And then, you know, really, when you start thinking about the connectivity between the different payment terminals on-site, whether it is inside the store, outside the store, on the car wash, on an EV charger, and really as you start bridging that to functionality like order at the pump, when you start bridging it to functionality like loyalty, media, having that common payment device is extremely important, and that was what Mark was covering in the prepared remarks around unified payment. Layer that in with NFX, and customers like Shell where we have deployed this are seeing significant advantage with managing the complexity of payment regulation, and other customers for which speed is very important are seeing improvement in speed of the transactions and increasing the throughput from that perspective. So significant advantages to our unified payment solution.
Mark Morelli: Now one of the areas that, you know, we are hearing also at the event that we are at this week is clearly the complexity of managing their assets, and these are very successful storefronts that are going in at sometimes these customers at a pretty fast clip. And it is how do you manage your costs going forward. So whether somebody might get a free piece of hardware here or there, that is not predominantly what they are interested in. They are interested in the cost of that infrastructure and what that costs them, the complexity by which it is being managed, the ability for a microservices software platform to also be modular in a way where that can enable loyalty. Loyalty is a big deal if they can engage with that, if they can engage through media, bring people inside the stores. Now, there are big uplifts that can happen from that. And then they are also predominantly really interested in the lifecycle cost. These folks hang on to these pieces of equipment for long periods of time, and they look at the lifecycle cost management capability. It is not typically first cost that wins in the market segment that we are mostly focused on. It is really the lifecycle cost that wins. I think when you look at our offerings, we have real competitive advantages here.
David Emerson Ridley-Lane: Got it. And if I could squeeze just one more in. Can you—you know, as part of your simplification plan, you are decreasing the number of dispenser variants, the SKUs. Can you buy a GVR fueling dispenser in the United States without Invenco hardware?
Mark Morelli: Can you repeat it again? Maybe I can understand the question?
David Emerson Ridley-Lane: I know you are decreasing the variants of fueling dispensers as part of your simplification efforts. And I am just wondering, for U.S. gas stations, is there a with-Invenco option and a without-Invenco option? Or is Invenco now just there in the base?
Mark Morelli: Well, Invenco is the name that we use for that technology suite and the payment kits. And I think it is a differentiating solution that we offer as part of this unified payment, and that is what customers get with that unified payment offering. So it is really part of the suite that we offer.
Anshooman Aga: But we sell dispensers with payments. There is no option in the U.S. to buy a dispenser without our payments.
Katie Fleischer: Got it.
David Emerson Ridley-Lane: Thank you very much.
Operator: There are no further questions at this time. I would now like to turn the call back over to Mark Morelli for his closing remarks.
Mark Morelli: Yeah. Thank you. Thanks again for joining us on the call today. We are entering 2026 with some really clear strong momentum, and we have a solid path to above-market growth and attractive margin expansion in front of us. And I am confident our teams will continue to execute along that path. We appreciate your continued interest in Vontier and look forward to engaging with many of you over the next several weeks. Have a great day.
Operator: Ladies and gentlemen, this concludes today’s conference call. Thank you for your participation. You may now disconnect.